Operator: Good morning, and welcome to the Newmont Mining Fourth Quarter and Full Year 2016 Conference Call. Today's conference is being recorded. If you have any objections, please disconnect at this time. I'd now like to turn the call over to Meredith Bandy, Vice President, Investor Relations. Thank you, and you may begin.
Meredith H. Bandy - Newmont Mining Corp.: Thank you, and good morning, everyone. Welcome to Newmont's fourth quarter and full year earnings conference call. Joining us on the call today are Gary Goldberg, President and Chief Executive Officer; Nancy Buese, Chief Financial Officer; and Tom Palmer, Chief Operating Officer. They and other members of our executive team will be available to answer questions at the end of the call. Turning to slide 2. Before we go further, please take a moment to review the cautionary statement shown here or refer to our SEC filings, which can be found on our website, newmont.com. And now, I will turn it over to Gary on slide 3.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Meredith, and thank you, all, for joining us this morning. Our overarching goal is to create shareholder value over the short, medium and long term. Today, we'll cover what we did to make Newmont a more reliable and profitable business in 2016 and what we're doing to build on that trajectory in the years ahead. Common themes include running safe operations that meet the highest sustainability standards, applying best practices and technologies to improve costs, investing to strengthen our portfolio and reserve base and generating superior returns. We'll deliver this performance by continuing to execute our strategy, turning to slide 4. Our strategy is to improve the underlying business, strengthen the portfolio and create value for shareholders. In 2016, we improved our business by maintaining low injury rates and no fatalities, reducing gold all-in sustaining costs for the fourth consecutive year and increasing attributable gold production to 4.9 million ounces. We strengthened our portfolio by building two new mines, Merian and Long Canyon, in two perspective new gold districts; advancing profitable expansions at Cripple Creek & Victor, Tanami and Carlin; adding 10 million higher grade ounces to our reserve and resource base; and selling PTNNT for $920 million in gross cash proceeds. These performance and portfolio improvements helped us create value by doubling free cash flow to $784 million, increasing adjusted EBITDA to $2.4 billion and improving cash on hand to $2.8 billion. We also improved share price by 89% and doubled our dividend payout. Strong performance starts at our operations, turning to slide 5. I'll point out two milestones that our team reached in 2016. First, we lowered our serious injury rate by 75%. This translated to only 2 serious injuries across our workforce of 28,000 people, good progress but 2 injury is too many. Second, we are rated the top mining company in the Dow Jones Sustainability Index for the second year running and recognized with the most improved performance. This year, we'll continue to lower safety risks, including fatigue, by focusing on improving behaviors and systems. We're providing training to our drivers and installing monitors in our haul trucks to alert them to the onset of fatigue. Our team at Carlin piloted the technology before we invested and reported an 87% decrease in fatigue-related events. Operational excellence also shows up in our cost performance, turning to slide 6. We have steadily reduced our all-in sustaining costs by a total of 22% since 2012. This include – excludes PTNNT. Nearly 2/3 of these savings are the result of cost and efficiency improvements supported by our Full Potential program. Our team has defined and delivered thousands of improvements through Full Potential, and the program is still going strong. We also rely on relevant technology to improve productivity. Automation and analytics are already delivering improvements, and there is more to come. Turning to our portfolio on slide 7. Comparing our divestments to our investments over the last three years, we've been able to lower unit costs by more than $100 per ounce and double mine life. Divestments culminated in 2016 with the sale of PTNNT for a total value of $1.3 billion. This includes up to $403 million in contingent payments associated with copper price and future development. Our portfolio is now anchored in four key regions, where we have the stability needed to continue investing over time. Turning to recent investments on slide 8. Last year, we built an even stronger record of delivering profitable projects, when most miners were delaying their capital spend. Our team built the first phase of Long Canyon safely, two months ahead of schedule and $50 million below budget. Taking a phased approach helped us to generate a greater than 26% rate of return and reduced the payback period to about four years. At Northwest Exodus and Tanami, we advanced extensions that will add profitable production and mine life and serve as platforms for further growth. Both projects are expected to generate returns in excess of 30% at current gold prices. Merian is another success story, turning to slide 9. We made our first investment in 2004 as a development partner with Alcoa. Since then, our geologists have grown the reserve and resource base to 5 million ounces. The government of Suriname acquired a 25% interest in 2014. More recently, we signed a development agreement with indigenous Pamakkan people. Finally, we delivered the first phase of Merian on schedule and more than $150 million below budget last year, and we continue to see promising exploration results. This is a great example of the type of long-term investments we will continue to pursue. Turning to slide 10 for more on exploration. In 2016, we added 4.1 million ounces of gold reserves by the drill bit with particularly strong results at Tanami and Merian, and we improved the reserve grade by 13% through high-grade additions and the sale of PTNNT. These additions helped to partially offset depletion of 6 million ounces and divestment of 2.6 million ounces. We also added 6.1 million ounces to our resource base, including 2 million ounces at our Yanacocha sulfides project, which is showing increasing promise. In 2017, we expect to boost our exploration and advanced projects expenditure by 22%. About 2/3 of that increase will pay for more our brownfields and greenfields exploration. About 1/3 will fund studies for the next-generation projects like Yanacocha sulfides, Long Canyon Phase 2 and the next expansion at Tanami. Turning to slide 11 for a look at the global business. We ended 2016 with a streamlined portfolio of cash-generating operations, a proven approach to improving costs and productivity and profitable options to expand mature mines and new gold districts in the Americas and to develop extensive underground resources in Africa and Australia. We also ended the year with nearly 3/4 of our gold reserves in the U.S. and Australia. Finally, our 29% holding in TMAC is not represented on this map or included in our reserves. But I'd like to congratulate Terry and the team at TMAC in Canada who poured their first gold earlier this month. With that, I'll turn it over to Nancy for financial results on slide 12.
Nancy K. Buese - Newmont Mining Corp.: Thank you, Gary. As many of you know, I joined Newmont late last year. I've been on the job for just over three months and have had the opportunity to visit two of our regions and meet many of our people. What stands out so far is the commitment to safety that permeates the business and the sense of pride and ownership people take in our performance and future prospects. Newmont is a great place to work, and I'm proud to be a part of the team. I'll turn now to our fourth quarter financial performance on slide 13. We saw significant improvement in our financial position compared to the prior-year quarter. Gold production rose 17% with increases at most of our operations and new ounces from Merian and Long Canyon. All-in sustaining cost declined 11% through a continued focus on improving operational effectiveness and cost efficiency, and adjusted EBITDA more than doubled to $629 million. We also improved free cash flow by more than 200% to $289 million. I'll turn to slide 14 to review adjustments to our GAAP net income and EBITDA. Starting at the top, net loss per share, excluding PTNNT, was $0.73 for the fourth quarter. Adjusted net income per share was impacted by three factors. First, we adjusted out the impairment charge at Yanacocha, which totaled $0.63 per share. As we announced last December, we're completing a comprehensive update of our closure plan at Yanacocha and have increased our cost estimate to cover higher water management requirements. As a result, we increased our reclamation liability and recorded an impairment. We had originally indicated an impairment range of $1 billion to $1.2 billion and came in just below that range at $970 million, as we updated our assumptions. Second, we adjusted out $0.22 for certain tax items, including the valuation allowance on our deferred tax assets. Third, we adjusted out $0.13 related to a book loss on debt repayment and non-cash reclamation expense. Taking these adjustments into account, we delivered adjusted net income of $0.25 per share, up $0.28 from the prior-year quarter. Adjusted EBITDA of $629 million reflects the same drivers. Turning to full year results on slide 15. Strong operational performance drove a 7% increase in attributable gold production and a 2% improvement in AISC year-on-year. This translated to exceptional financial performance, including an 89% increase in adjusted net income to $619 million, a 25% increase in adjusted EBITDA to $2.4 billion and more than doubling our free cash flow to $789 million (sic) [$784 million] (11:12). Turning to slide 16 and our full year adjustments. Net loss excluding PTNNT was $0.41 per share for 2016. Our full year adjusted net income of $1.16 per share was impacted by two factors. The adjustment for the Yanacocha impairment I discussed earlier totaled $0.63 per share, and adjustments related to valuation allowances on our deferred tax assets totaled $0.94 per share. Adjusted EBITDA of $2.4 billion for the year reflects impairment and reclamation charges related to Yanacocha closure estimates, loss on debt repayment and reversing a net gain on asset sales, as well as some other items. Turning to slide 17. As Gary mentioned, performance and portfolio improvements have given us the means to execute our capital priorities, which are to fund profitable growth, maintain industry-leading financial flexibility and return cash to shareholders. In 2016, we generated $1.1 billion through asset sales and increased our cash on hand to $2.8 billion. Our nearly $6 billion of liquidity includes a $3 billion undrawn revolver and allows us to invest in our best growth options and to pursue opportunistic M&A. We've also reduced our net debt by 2/3 over the last three years, resulting in a net debt to adjusted EBITDA ratio of 0.8 times and making our investment-grade balance sheet one of the strongest in the industry. Finally, our fourth quarter dividend doubled compared to the prior-year quarter, and we enhanced our dividend policy to improve shareholder returns at the higher gold prices beginning in 2017. We are confident in our ability to generate cash through the cycle, so we also increased the payout at lower gold prices. Wrapping up my comments on slide 18. Consistently strong performance and a steady focus on value creation continued to differentiate Newmont in 2016. We ended the year with $1.47 in free cash flow per share and an 89% increase in share price, both well above the sector average. With that, I'll hand the call back to Gary on slide 19.
Gary J. Goldberg - Newmont Mining Corp.: Thank you, Nancy. Summing up 2016, we did what we said we would do and delivered sector-leading performance, portfolio improvements and value. We also recognize that we have to continuously improve our record to stay in the lead. Switching gears now to the future on slide 20. Our five-year outlook calls for steady gold production at competitive costs and ongoing investment in profitable growth. Lower-cost production from our newest mines will partially offset the impacts of inventory adjustments and stripping campaigns at our more mature assets. We also expect to increase spending on the next generation of growth prospects, while maintaining our investment-grade balance sheet. Taken together, these factors position us to maintain strong performance over the next decade and beyond. Turning to our project pipeline on slide 21. Newmont's project pipeline is among the best in the gold sector in terms of depth and capital efficiency. This gives us the flexibility to main (14:25) production levels while growing margins and mine life. The projects that are included in our outlook are the current projects and sustaining capital projects you see here. These are the Tanami Expansion and Morrison in Australia, Northwest Exodus and Goldstar in Nevada. The mid-term projects that will improve our cost and production outlook are shown in green. These include the Ahafo Mill Expansion, Subika Underground and Ahafo North in Ghana, Twin Underground in Nevada and Quecher Main in Peru. With the exception of Ahafo North, we expect to approve these projects during the course of this year. Finally, we continue to invest on our longer-term projects shown here in dark blue. Turning to slide 22 for the production profile associated with this pipeline. As you can see, Newmont has a stable long-term asset base with considerable upside from its industry-leading project pipeline. Our gold production profile is forecast to remain at about 5 million ounces for the foreseeable future, and we continue to advance our mid-term and long-term projects to sustain profitable production in the outer years. We've provided a seven-year view here in keeping with our focus on long-term value creation, and we believe this outlook differentiates us from our competitors. Let me reiterate that when we talk about growth, we are referring to growing margins, not ounces. Our work to develop a portfolio of lower-cost, longer-life assets and to generate industry-leading return on capital employed is paying off, and we will continue this trajectory by taking a fit-for-purpose approach to developing our projects, weighing multiple options to improve risk and return, delivering projects safely on or ahead of schedule and at or below budget and continuing to invest in early-stage and exploration opportunities. Turning to slide 23 for more on our guidance. Our current three-year to five-year outlook is for steady production of 4.5 million ounces to 5 million ounces, unchanged from prior guidance. In 2017, we expect gold production to increase to between 4.9 million ounces and 5.4 million ounces, as the full year production for Merian and Long Canyon more than offset lower production at Twin Creeks and Yanacocha. In 2018, production will decline slightly to between 4.6 million ounces and 5.1 million ounces due to higher stripping at Boddington and lower grades at Cripple Creek & Victor, Twin Creeks and Akyem. Both Boddington and Twin Creeks will return to higher production in 2020. Our all-in sustaining cost outlook for 2017 and 2018 is slightly higher, primarily due to recent events but we continue to manage. First, we're working to recover ounces that were impacted by a larger slip in Carlin Silverstar mine in late November. We've taken that production out of guidance for now, and it represents upside for 2018 and 2019. The guidance also reflects the work we've done to fine-tune ground control plans at Leeville. Second, we adjusted our outlook to reflect the impact of record rainfall we've been experiencing at Tanami. The team is implementing recovery plans now. Third, we shifted the allocation of our cost between copper and gold production, starting in 2017. And finally, our increased investment in advanced projects and exploration will raise cost in the near term, as we continue to invest in our ability to generate superior value over time. Our cost outlook for 2019 through 2021 remains between $880 and $980 per ounce. Our sustaining capital spend reflects ongoing investment in our asset base and is expected to rise slightly in 2017 in keeping with prior guidance. This capital will mainly fund the ongoing mine development, tailing storage capacity and equipment rebuilds. Longer term, we expect to hold sustaining capital to between $600 million and $700 million per year, which is favorable to previous guidance due to a mix of sustainable cost savings and deferrals. Development capital outlook for 2017 and 2018 supports our current growth projects. Our guidance does not include projects, unless all studies are complete and full funds are committed. We believe this aligns with how our shareholders think about their investments as well. Our outlook will improve, as we add mid-term projects over the next three years and our longer-term projects thereafter. Likewise, we do not include Full Potential savings past 2017 in our outlook. For the last four years, we've more than offset the impacts of inflation through Full Potential, and we expect this trend to continue. As always, we take a realistic approach to guidance to drive the right focus within Newmont. With that high-level overview, I'll turn it over to Tom on slide 24 for more details on our regional performance and outlook.
Tom Palmer - Newmont Mining Corp.: Thanks, Gary. And I'll start with North America on slide 25. In November 2016, we reached commercial production at Long Canyon, two months ahead of schedule and 20% favorable to budget. We also met our investment case and completed expansions at Cripple Creek & Victor. We improved mill throughput and recoveries in 2016 and expect to further optimize performance through our Full Potential program. And at Carlin, we're funding a profitable extension of our Exodus mine that will reach full production in 2018. As Gary mentioned, we experienced another slip at the Silverstar mine late last year. This prevented us from mining the last ore from this pit in 2016, as expected. We had planned to process some of this ore in the early part of 2017, but have taken those ounces out of guidance for now. This represents upside for 2018 and 2019, as we work through plans to reenter this mine. Also, we continue to make good progress at Leeville. The work we've done to refine our ground control management plans and change our mining method in some areas has been incorporated into our guidance for Carlin. For the North America region, we expect higher production in 2017, as the full year of operations at Long Canyon offset the impact of stripping and processing stockpiles at Twin Creeks. In 2019, you can see the impact of processing stockpiles as we work through stripping campaigns at both Carlin and Twin Creeks. Both sites return to high production levels in 2020. It's also worth noting that we'll continue to see seasonal impacts with Carlin, with production weighted to the second half of the year. Long Canyon is ramping up steadily from its first gold pour in November and its production will also be weighted to the second half of 2017. Finally, we expect to reach a decision on our Twin Creeks Underground mine later this year. Turning to South America on slide 26. We commissioned Merian last October on time and 20% below budget. Merian's lower cost ounces have partially offset declining production at Yanacocha. We're keeping our options open at Yanacocha through potential development of the Quecher Main deposit, which could sustain oxide gold production through to 2025. This project is not included in our current guidance, and we expect to reach a decision to move forward later this year. As Gary indicated, we're also advancing our sulfide study at Yanacocha and declared a first resource of 2 million ounces in 2016. Project economics and technical viability continue to improve as we advance work in the Chaquicocha exploration decline and on autoclave testing to optimize our approach to mining and processing sulfide ores. We also continue to evaluate and refine our closure estimates and approach in Peru, whilst preserving optionality for future development. South America production is expected to increase slightly over the next two years, as we hit our stride at Merian. In 2019, you can see the impacts of declining production at Yanacocha and higher stripping at Merian. Costs are projected to remain relatively stable over the next three years. And Full Potential, which we'll launch at Merian this year, represents further upside. Finally, Dean Gehring, an experienced mining leader who joined the Newmont team on June 1 to run our South American business. Dean succeeds Trent Tempel, who is retiring after 33 years of distinguished service with Newmont. Turning to Australia on slide 27. Our team delivered exceptional performance in 2016, driven by record throughput at Boddington and KCGM and strong results at Tanami, as they continue to advance their expansion projects. This project adds a second decline to support a step-change in mining rates and build incremental plant capacity to match those rights and improve recoveries. The second decline is in use, and the mill expansion is under construction. As Gary mentioned earlier, progress has been impacted by two months of record rainfall in the Northern part of the Australia, but we remain on track for completion into mid-2017. Turning to the regional outlook. We'll come off record production at Boddington over the next three years, as we move into the next layback. This will impact production and costs before they return to prior levels in 2020. The team expects to improve this outlook through Full Potential and by optimizing the Tanami Expansion Project. We added 1.6 million ounces of reserves at Tanami in 2016, bringing total reserves and resources to 5.6 million ounces. Our outlook also includes increased study cost to advance a promising second expansion at Tanami. Turning to Africa on slide 28. Ahafo and Akyem achieved steady mill throughput and recovery improvements in 2016 and delivered our lowest regional injury rate. Ghana recently elected a new president, and we're encouraged by his willingness to engage and support mining investment. We continue to see Ghana as a good place to do business, and we're making progress on securing the permits we need to expand the mill at Ahafo and build the Subika Underground. When approved, the two projects will add between 225,000 ounces and 300,000 ounces of gold annually and lower Newmont's all-in sustaining costs. As Gary indicated, we expect to reach a decision in the first half of 2017. Both projects represent upside to our current guidance. Otherwise, we expect production to decrease and cost to increase in 2017 and 2018, as you reach harder ore and deplete high-grade stockpiles at Akyem. In 2019, production and cost are forecasted to improve as we reach high-grade ore at Ahafo. With that, I'll hand it back to Gary on slide 29.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Tom. We continue to make Newmont a safer and more profitable business in 2016 with differentiated cash flow, financial strengths and growth prospects. We delivered industry-leading safety and sustainability performance at our operations and increased adjusted EBITDA by 25% to $2.4 billion and more than doubled free cash flow to nearly $800 million on the back of superior operational performance. We invested these proceeds back into the business by building two new mines and profitable expansions in the Americas and Australia and adding higher grade ounces to our reserve base. We optimized our portfolio with the sale of our PTNNT stake for $920 million in cash proceeds and we used these proceeds to retire more than $1.3 billion in debt, improving our liquidity and doubling our dividends. Looking ahead, we can't control the gold price, but we can and will work to outperform the gold sector by continuing to meet our challenges head-on and consistently delivering high quality business results, developing profitable projects on or ahead of schedule and at or below budget, investing in exploration to expand our existing assets and develop the next world-class gold mines and maintaining a strong balance sheet. Our ultimate goal is to lead the gold sector in profitability and responsibility. We entered 2017 from a position of strength, but we recognized that leadership requires us to consistently meet or exceed our commitments and your expectations. Thank you for your time. I'll turn the call back now to the operator to open the line for questions.
Operator: Our first question comes from Andrew Quail, Goldman Sachs. You may begin.
Andrew Quail - Goldman Sachs & Co.: Gary and team, good morning. Thanks very much for taking my question, and congrats on a strong quarter. One is on – Gary, one is on the projects. First one, I suppose, with the Yanacocha and Quecher Main, can you just tell us how this ties in to what you guys are doing there with the impairment that you guys talked this quarter? And also, maybe, I think Tom was touching on the closure costs. What's actually the current provision there for the reclamation? And I suppose, is this an asset that, when you look forward, if you don't go ahead with something like Quecher Main – I mean, the second half of 2017, is this an asset that you would look to divest?
Gary J. Goldberg - Newmont Mining Corp.: Okay. A couple of different questions in there. Thanks, Andrew. First of all, on Quecher Main, Quecher Main is an incremental oxide expansion that adds about 200,000 ounces per year of production. Total production, starting from after we approve it, basically gets us from 2019 through 2025. So, it's incremental. And really, the way I've been looking at it, it's a bridge to the development of the bridge to the development of the Yanacocha sulfide. So, it allows us to finish the study work through really the next two-and-a-half, three years on the Yanacocha sulfide, so we're in a position to make an investment decision there. The closure cost estimates are – really, it's an update, primarily water related in terms of the increase to the cost that we've estimated. It does not, at this stage, include Quecher Main either the additional costs that we might incur by operating Quecher Main or the benefit we get by extending the reclamation time. So, that would be something we'd have to update, as we'd approve that project. Same thing with the Yanacocha sulfides. The Yanacocha sulfides both have an impact on reclamation cost, but it also – not only in terms of adding to that, but also would extend when they would occur, so it pushes it out. None of that is included. So, right now, we've just assumed end of mine life at the end of 2019 and all those reclamation costs, and that's why you see some of Yanacocha's costs going up here over the next couple of years, as those additional reclamation costs flowing through to our all-in sustaining costs. In terms of divestiture, your last question, I had a very good meeting with the President when I was down in November. I'm encouraged by the approach he's taking and the approach not just for the country but within the regions and the support and focus that he's placing on regional economies and the importance there. The Cajamarca Province is one that has not benefited as much by the presence of mining, and I think changing things there is important. I'm encouraged by not only Quecher Main, but the Yanacocha sulfides project. And the way that's starting to shape up, it shows really good promise. So, from my standpoint, it's one that we really see good potential in and want to see that full potential through.
Andrew Quail - Goldman Sachs & Co.: And the impairment this quarter was related to what exactly?
Gary J. Goldberg - Newmont Mining Corp.: It's a combination of additional – well, we had – we changed the reclamation cost provision and that was primarily due to changes in our view on how we'd have to manage and treat water. That triggered an impairment to our carrying value, so the $920 million...
Andrew Quail - Goldman Sachs & Co.: Yes. Got it. Okay...
Gary J. Goldberg - Newmont Mining Corp.: Essentially was triggered by that.
Andrew Quail - Goldman Sachs & Co.: Got it. Okay. And the last one is obviously in Africa in Ghana. What would be the final hurdle that you guys have to get over the line to sort of – to approve Subika and Ahafo together? Is it sort of permitting? Or it's obviously – well, it doesn't look like it's economics, given your balance sheet is so strong. Is it – can you just walk us through the final steps?
Gary J. Goldberg - Newmont Mining Corp.: Sure thing. And I had the opportunity, and we have a new president in Ghana as well, who was inaugurated in January, and I had the opportunity to meet with him earlier this month. And I came away encouraged about the focus that he's taking on looking to grow businesses in Ghana, talked to him about our history and where the future potential is. We're working through with the local regulators, getting permits for Subika Underground. I think we're making good progress on that and also making good progress in regards to the mill expansion on the requirements around tailings dam construction. And I think the thing that I've seen in Ghana, which isn't surprising given some of the more broadly publicized issues with tailings dams, there's more focus on the construction. I think we do a good job with that at all of our operations, but we're taking the right time to make sure regulators and other stakeholders are comfortable with what's going on. So, that's taking a little bit more time. I believe we're in a position here in the first half of this year to get those permit approvals in alignment with what's required to take the next steps. The economics look good on both of these projects. We've done really good development work with Subika Underground. So, that sits in a better place to see earlier first production. And then, the mill expansion is a simple expansion, primarily the grinding capacity and crushing capacity at Ahafo. So, there's not new technology or anything going in. So, they're really good additions to the portfolio there.
Andrew Quail - Goldman Sachs & Co.: Thanks, mate. We've got a new president in the U.S. Have you met him?
Gary J. Goldberg - Newmont Mining Corp.: Nope, haven't met him yet, and we're paying attention to what he brings along the way.
Andrew Quail - Goldman Sachs & Co.: Yeah. Good. Okay. Thanks, Gary.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Andrew.
Operator: The next question comes from John Bridges, JPMC. Your line is now open.
John D. Bridges - JPMorgan Securities LLC: Good morning, Gary, Nancy, Meredith. Congratulations on the results. Just digging a bit deeper into the sulfide project, what's your vision for that? What are you going to be doing in the next couple of years as you study it? What could it be? What could it cost?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think we'll have more information to update the market later this year in terms of some of the details. At a high level, it's looking to – we've been doing the testing of the Yanacocha Verde, the bioleaching of copper. That's showing very promising results. The next phase there is to look at a thiocyanate leach to leach gold from that after we've leached the copper. So, that's the next stage of that testing going on. But so far, that looks good. We continue to do work with the Chaquicocha Underground development. We've had good exploration results. We're looking at a potential to actually extend that decline and do some additional drilling. And that could help and actually provide even a bridge that we haven't talked a lot about, but an incremental that might be able to come out in advance of the overall Yanacocha sulfides projects. But we've got to do a little more drilling on that. The third piece is we would produce a copper gold sulfide concentrate with high arsenic. We've done a lot of metallurgical testing, both with the atmospheric leach process we continue to test with Buenaventura, but also testing the autoclave process. Results there are showing really good recoveries of both copper and gold, so I'm encouraged. That's part of the encouragement I've seen and we've also seen some early results that maybe the capital wouldn't be quite as much as what we thought, but I'm going to hold and wait until later this year to provide an update when we get to the next stage on that project. So, it's really how we take the next stage. We've added several million ounces to resource here, I think 1 point – or about 2 million ounces to the resource base based on this work that we've done and additional drilling we've done. Anything else, John? Did we lose John? Have we lost the line, operator?
Operator: Apparently Mr. John has lost the connection.
Gary J. Goldberg - Newmont Mining Corp.: Okay.
Operator: We do have our next question coming from Jorge Beristain, Deutsche Bank. Your line is now open.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey. Good morning, Gary. Jorge Beristain with DB. My question was circling back on Africa again and just to dig a little bit deeper as to what has actually been the holdup with getting Ahafo and Subika going. We know that there was some tax issues about 18 months ago, but we thought that you had kind of jumped ahead of those versus your peers, settling with the government. And then, we've had recently some tailings – increased tailings risks globally. But could you just comment on what has kind of held up getting the green light so far?
Gary J. Goldberg - Newmont Mining Corp.: I think, Jorge, it really boils down to just working through the permit time – the permits on the underground. With that, it's the impact – what the concern was the impact on the groundwater table when you go down deeper, what is the impact on the surrounding communities. So, we had to work through in our groundwater models and show what the impact is. We think we've got a good handle on that and the regulators I think now believe we've got a good handle on that. So, getting that outlined was probably the big factor in the delay in getting that permit through. And the other point that you make in regards to tailings dams was just getting comfortable around what tailings dam construction method to use at Ahafo for the next stage of expansion. So, we've been working through with the regulators on that. In terms of the tax issues, or more specifically, the investment agreement, we actually negotiated for over two years changes to our investment agreement that allowed for increases in some of the royalty rates. I think it was a good process, from what I've seen there, versus other places in the world, where we worked with government folks and came up with a new agreement and actually had that then ratified by the parliament. So, that's in place and has had approval here. That was just a little bit over a year ago, towards the end of 2015 that that was approved. So, that's in place and gives us the assurances and stability and confidence that we need to go forward with these investments, once we get these permits confirmed.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay. Got it. And then, just on South America, I just wanted to check. Your unit costs, particularly for AISC, are not coming down as quickly as what we're seeing in the peers – or in your peer group. And so, the question is, is that because you've had some of the changes to the expected impairments down there and that's kind of taxing your AISC higher than your peers and that's something that you said may be reversible...
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think the key reason – and you're looking at Yanacocha. Let's set Merian aside because I think Merian is performing really well as a new operation, as you would expect from a new operation like that. At Yanacocha, it's more we're coming to the end of the mine life and production declines and some of the inefficiencies you get around that as it declines until we looked for these incremental expansions. We also have a small layback going on there that doesn't get into the higher grade parts of the ore body for another year and a half, two years, so you're seeing some of those costs come through. So, it's not unexpected at this stage in the mine life to see the costs on that operation go up. Operator, I think we lost Jorge as well. Operator, can we go to the next caller?
Operator: The next question comes from Evan Kurtz, Morgan Stanley. Your line is now open.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Hi. Good morning, Gary. I guess, I'll ask one before I fall off. So, the – my question is just on Silverstar. So, if you were to put that back in the numbers, say, in 2018 and 2019, what sort of impact would that have from both a volume aspect and a cost aspect? Well, how costly are those ounces? And what is kind of the likelihood and the cost of actually doing what you need to do to get that mine back in operation and finish off those ounces?
Gary J. Goldberg - Newmont Mining Corp.: Okay. Thanks, Evan. I'm going to have Tom address that question. It's something that's still under study, but I'll have him cover it.
Tom Palmer - Newmont Mining Corp.: Thanks, Gary, and thanks for the question, Evan. First step for us is to step back and assess the nature of the slip, do some geotechnical drilling to understand how we need to update our structural models and then reassess what would be involved in doing some work on that high wall and removing the slip material then going back in, and we really need to go through that considered process over the, really, the first half or so of this year to make an assessment of what going back in looks like, then I think we're in a position to start to give some information in terms of what impact that would have in the longer term. But for us, at the moment, it's really about just taking that step back and having a considered assessment of what we need to do to get back into that pit.
Evan L. Kurtz - Morgan Stanley & Co. LLC: And how many ounces were left in there at this point? Is that something you can flag?
Tom Palmer - Newmont Mining Corp.: Yeah. It's the order of around 200,000 recovered ounces still in that – bottom of that pit. So, we were really right at the end of that mine.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Great. Thanks. And then, since I'm still on, maybe I'll ask one more. Is there any update on KCGM?
Gary J. Goldberg - Newmont Mining Corp.: Nothing to add from our standpoint. I think we continue to operate that mine, and it's doing what we expect it do in terms of operating performance. In terms of the process, we'll watch and we'll see what happens.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Okay. Great. Thanks. I'll hand it over.
Gary J. Goldberg - Newmont Mining Corp.: Thank you, Evan
Operator: Our next question comes from David Haughton, Imperial Bank of Commerce. Your line is now open.
David Haughton - CIBC World Markets, Inc.: Good morning, Gary and team. Thank you for the update. Just a question on Ahafo North, if I may. I see that it's got the green status on your pipeline. Can you just give us an update on what you're thinking there as a standalone project or a satellite to Ahafo, kind of, CapEx, timing, et cetera?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think what we're seeing with Ahafo North, it's probably another three years or so down the road before it comes forward for an investment decision. We're doing more work drilling-wise, doing more work with the community to make sure we've got the right approach there, kind of, leveraging off the good work we've done, I think, both at Ahafo and Akyem community-wise. Initially, there were talks whether we could mine the ore there and haul it down into the Ahafo Mill. It's really looking like the better option would be to have a standalone mill up at Ahafo North to process that ore. And then, we take the loaded carbon, much like we're doing at Long Canyon, where we take the loaded carbon from Long Canyon into Carlin, we take the loaded carbon from Ahafo North down to Ahafo for final processing into doré. So, doing more work there, doing more work on some drilling and, particularly, grade estimation drilling there to make sure we get a good handle like we did with some of our other projects, Merian and Long Canyon, wanting to make sure we've got a good handle on the grade in those first few years. It makes for a little additional cost, but sure helps on the certainty side. So, we're continuing to work through that. In terms of capital, I mean, it's early days. So, I think let's get through and see where we finally land, but I would see it as something probably less than what we spend at Merian, given some of the other infrastructure that's around, but let's wait and see. I think, production-wise, we're probably talking something in the 200,000 million ounce to 250,000 million ounce a year range at this time. So, that gives you some high level.
David Haughton - CIBC World Markets, Inc.: Yeah. That's excellent. Thank you, Gary. Just looking at Tanami now, reserves have grown once again, exploration seems to be very kind to you, that's a very rich area. Moving on to the expansion beyond now – I know this latest one isn't even delivered yet and I'm talking about the next. Is that contingent upon more exploration, or do you see that there is enough material underground to warrant the next step beyond where we are already?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. From my standpoint, I – we're looking at a variety of different options, whether it's additional declines, a production shaft and different options in how we mine. The resource and reserve continues to grow there, as you pointed out. So, we'll continue to do drilling. We're out of there right now because of the rain and the limits that's had on getting into both of the mine because we don't the fuel to operate the mine. So, we've just gone to standby here for the next – hopefully just next week or so. But I'm encouraged by the potential for this. You will remember, five years ago, we had a project to put in a production shaft, which we put on hold because the mine wasn't performing and delivering the results it needed to. So, we've taken sort of that back off the shelf, clustered it off, but also looked at different places to put it because the ore body has grown quite a bit. And how big you make the shaft, how deep it goes, those are some of the different options that are being looked at here. But for me, I think it's a good next stage. But like you say, we've got to deliver the current expansion. We've got the mining part done, the mill part done here mid-year and make sure we know how that delivers, so we can design what would be an incremental mine expansion and another incremental mill expansion.
David Haughton - CIBC World Markets, Inc.: One last question and probably for Nancy. Just very significant cash balance. I know that Newmont has carried quite a bit of cash over the last few years. $2.8 billion thereabout seems like a sizeable balance, and I'm just wondering what your thought process was as to how much to keep and how much to use to retire debt.
Nancy K. Buese - Newmont Mining Corp.: Yeah, absolutely. We have done a lot in this year in terms of retiring our debt, and I think the main focus here is to retain our optionality and have a lot of financial flexibility regardless of what opportunity is in front of us. So, we'll continue to grow the business, invest in our longer-term opportunities and then also stay alert and aware for M&A, as it may present itself.
David Haughton - CIBC World Markets, Inc.: Okay. So, you're just keeping your powder dry, basically?
Nancy K. Buese - Newmont Mining Corp.: Exactly.
David Haughton - CIBC World Markets, Inc.: All right. Thank you very much for that.
Operator: Our next question comes from John Tumazos of John Tumazos Very Independent Research. Your line is now open.
John C. Tumazos - John Tumazos Very Independent Research LLC: Thank you for taking my question. I may be a little hazy in my memory. But when Fronteer Gold was promoting Long Canyon, they were looking at a bigger than 1 million ounce deposit that was open, and there had been no indication yet of hitting the sulfides. And the mine plan – and congratulations for pouring gold and making a little profit. Just for a 1-million ounce deposit and the mining rate for ore is something like 6,000 tons a day and weighs to something like 125,000 ton to 175,000 ton a day or 20 to 30 strip. Could you explain a little bit about the depth of the ore, topography constraints, water constraints? It appears that the project definition is more complicated than some of the broad expectations of five years ago.
Gary J. Goldberg - Newmont Mining Corp.: John, thanks for the question, and I think a couple of things. We've got about 1.2 million ounces, so we've grown the reserve from where we were when we first announced the project. We continue to do drilling around the deposit and finding – and really haven't closed it off in terms of extensions at depth and down dip, finding higher grades. It goes below the water table at that point. So, how we manage mining below the water table is one of the things we'll be studying as part of Long Canyon Phase 2, the next phase of the project, so we're doing work on that. In terms of current mining rates and strip ratios, you've got a lot higher numbers than what we're actually doing and maybe you've got something tied in when we were doing development and not reflective of what we're seeing more steady state. Strip ratio ranges anywhere between about 8 and 10 here over the next several years. So, higher strip ratio, but also higher grade than average – we get average grades, so that – it's around the ore body average of 1.9 grams per ton.
John C. Tumazos - John Tumazos Very Independent Research LLC: Thank you.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, John.
Operator: Our next question comes from Kit Keane (49:44), S&P Global.
Unknown Speaker: Yeah. Hi, guys. Thanks for taking the question. Just to follow up on that – on John's question. If you looked at Long Canyon in terms of the acquisition cost, when would you expect a payback on the projects, how many years would it take?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think, at this stage, it doesn't happen with Phase 1. Clearly, it would be something that would happen out at Phase 3, which would be most likely an underground and a mill complex being installed there in terms of fully paying back the acquisition cost.
Unknown Speaker: Okay. Thanks for that. And, yeah, just having recently been on the Barrick call and they mentioned some of their ongoing discussions with potential buyers on Kalgoorlie, is there anything you can add on your view of the asset there?
Gary J. Goldberg - Newmont Mining Corp.: We like the asset. We like operating it, and we're watching the process to see where it comes out.
Unknown Speaker: Yeah. Fair enough. And longer term – or just in terms of M&A, you had mentioned you're obviously always watching the market. Maybe you could – is there anything that you particularly like out there that – any jurisdiction that you particularly like in terms of M&A right now?
Gary J. Goldberg - Newmont Mining Corp.: I think we've got a good footprint around the globe, in areas where we have good operating capabilities and good relations. I think, when you look at what we provided here today in terms of a seven-year outlook and what are our production profile looks like, we can be opportunistic. And as we were with Cripple Creek & Victor at a time when prices were down and people needed the cash and we were able to acquire an asset for good value, we'll always look to see if there's things we can do to improve our portfolio quality in terms of either value or risk. But we've got a really excellent project pipeline that does those things today. We'll continue to probably more focus on early-stage developments, greenfield sort of things or brownfield in areas and in jurisdictions that we're comfortable we can manage well. And so, we'll keep our eyes focused on those sorts of things.
Unknown Speaker: Final question. I appreciate that. In terms of – one of the first questions that was asked about the new administration, obviously, Scott Pruitt was just – he's now the administrator of the EPA and there are some changes expected there. Obviously, it's early days and we can't say for sure what's going to happen at the EPA. But just in terms of Nevada and perhaps in the U.S. in general, do you feel like there will be some benefits in terms of permitting timelines? I'm just kind of looking for a general comment on how you see that changing. For example, if the Waters of the U.S. rule, which obviously isn't enacted fully yet, goes to the wayside, would that benefit you in Nevada? Or just some commentary there.
Gary J. Goldberg - Newmont Mining Corp.: Yeah. Thank you for that. I think we're all, kind of, watching the different things coming from the administration. I saw some comments that Mr. Pruitt made yesterday in particular that I liked about having investor certainty. If there's going to be changes to regulations, having a good process for review and understanding of how those properly get implemented is a good thing, I think, for business overall in the U.S. As it affects us directly, I think we already sat in a pretty good spot in terms of how we'd work with regulators. We came up with a sagebrush ecosystem program at the end of last year with the outgoing administration that really helped to address some of the concerns around sage-grouse and other species that are potentially at risk in Nevada and how we would work with the different administrative groups to be able to continue and really not impact our operations. So, I think we sat in a pretty good spot already, but we want to work with the incoming administration. I'm looking to set up a meeting with Mr. Pruitt just to have that sort of discussion around where we have concerns and where we could see logical changes going forward to any process that take into account not just our concerns but all stakeholder concerns going forward and do it in a proper manner.
Unknown Speaker: I'll beg off in just a second, but just can you add to that, what would be the primary concerns for you? What would be the things that you would raise with Mr. Pruitt?
Gary J. Goldberg - Newmont Mining Corp.: I look at some of the things that had been getting implemented around reclamation bonding, where federal or state jurisdictions already have things in place so we don't have overlap of requirements which is one of the things we come across today. Those are probably a couple of things that I would focus on.
Unknown Speaker: Okay. Thank you very much. I appreciate it.
Gary J. Goldberg - Newmont Mining Corp.: Thank you.
Operator: Next question comes from Robert Reynolds, Credit Suisse. Your line is now open.
Robert Reynolds - Credit Suisse Securities (Canada), Inc: Good morning, guys. My question is on Merian. You added about 600,000 ounces to reserve there. Is that mostly in the oxide or sulfide? Or can you talk about how that could impact the mine plan?
Gary J. Goldberg - Newmont Mining Corp.: I think it's almost all oxide. We don't really – well, we have sulfide there. It doesn't change the processing method. It's still the leaching process there. I've got our Head of Exploration here, Grigore Simon. He can add to that.
Grigore Simon - Newmont Mining Corp.: Yes. So, the 600,000 ounces are the Newmont equity ounces that Gary mentioned. They're a combination of ounces coming from the extensions of the pit as well as the success that we had in the lower part of the pit. So, the ounces are a bit of a combination of oxide ounces, of course, the extensions, and in the deeper part of the pit then will be the sulfide ounces.
Robert Reynolds - Credit Suisse Securities (Canada), Inc: Okay. And then, in your cost outlook, I think it mentions around 2019 there's higher stripping at Merian. Could you just talk about what your strip ratio is expected to be in 2017 and then what the life of mine strip ratio is at that asset?
Gary J. Goldberg - Newmont Mining Corp.: Okay. I'm going to hand that one over to Tom Palmer to handle.
Tom Palmer - Newmont Mining Corp.: Yeah. So the strip ratio will be around 3.5 to 4 on average through those years, and that also represents about the life of mine strip ratio as well.
Robert Reynolds - Credit Suisse Securities (Canada), Inc: Okay. And then you might have touched on it earlier but at Long Canyon, there is a higher grade resource there. It's about 3.5 gram per tonne out of (56:53) 1.6 million ounces. Is that material that can only be accessed with a Phase 2, or could you mine some of that in Phase 1?
Gary J. Goldberg - Newmont Mining Corp.: That would be Phase 2 and looking going below the water table to access that.
Robert Reynolds - Credit Suisse Securities (Canada), Inc: Okay. That's it for me. Thanks.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Robert.
Operator: Our next question comes from Greg Barnes, TD Securities. Your line is now open.
Greg Barnes - TD Securities, Inc.: Yes. Thank you. Gary, I believe the JV with Barrick at Turquoise Ridge expires this year. What is the plan there?
Gary J. Goldberg - Newmont Mining Corp.: No, the JV doesn't expire. We have a processing agreement that we process the ore from Turquoise Ridge at our Twin Creeks mill. And at the end of this year, that's scheduled to be up. So that's what's changing this year there.
Greg Barnes - TD Securities, Inc.: And what is going to happen with the processing agreement?
Gary J. Goldberg - Newmont Mining Corp.: That's something that we'll work out with our joint venture partner.
Greg Barnes - TD Securities, Inc.: And secondly then on CapEx, if you do approve all of the projects this year that you're talking about, would CapEx be up this year and next by $200 million in each year, it's something in that order?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. We'll provide – when we approve those projects, we'll update our development capital. But when you look at just the two projects in Ghana, that's roughly about what the impact would be for additional capital in 2017 and 2018. But we'll provide that update along with the other projects as we approve them.
Greg Barnes - TD Securities, Inc.: Okay. Thank you.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Greg.
Operator: Our next question comes from Michael Dudas of Vertical Research. Your line is now open.
Michael S. Dudas - Vertical Research Partners LLC: Hi, Gary. Just quickly, your thoughts on exploration opportunities with much of your near-mine site drilling and what we could look for maybe this time next year.
Gary J. Goldberg - Newmont Mining Corp.: We continue, obviously, to focus a majority of our spend in the brownfield, so around our existing operations and areas where we've talked about. Greenfields, we're working in places in Eastern Nevada, Western Utah, down in Peru, around the Guiana Shield areas in the northern part of South America, in Ethiopia and also Mount Isa in Queensland in Australia. So – and as we said, upping our spend both on exploration and advanced project spend, really looking not for what we need here in the next three to five years, but looking at the next five to 10 years what's important for the business.
Michael S. Dudas - Vertical Research Partners LLC: And just following up on your thoughts on the EPA and such. Geologics aside, does the U.S. may become a better, more attractive place to mine for over the next four to six, seven years given what changes could possibly occur?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. I think we still look long term for all these sorts of things when there's different administrations, whether it's here or in other countries and still look to invest where it makes sense for the long term.
Michael S. Dudas - Vertical Research Partners LLC: As long as they don't change the mining law, I guess that will be helpful. Thanks, Gary.
Gary J. Goldberg - Newmont Mining Corp.: Thank you.
Operator: Our next question comes from Andrew Kaip, BMO.
Andrew Kaip - BMO Capital Markets (Canada): Hi, Gary, Nancy and Tom. Thanks very much for taking my questions. I've got a couple. One, the sustaining capital, you made a remark that sustaining capital had come down in 2017 timeframe because of savings as well as deferrals. And I'm just wondering if you can expand a bit on those two items. What were the drivers of those changes?
Gary J. Goldberg - Newmont Mining Corp.: Okay. I'm going to have Tom Palmer cover that.
Tom Palmer - Newmont Mining Corp.: I'll give you maybe two examples, Andrew. In terms of savings, a lot of our sustaining capital goes into tailings facilities. At say for instance Boddington, which is a very large operation, low-grade mine, obviously we generate a lot of tailings, we've got better contract rates for building our tailings extensions. So you get savings by building some of those, still constructing the same amount of tailings, but you're getting them at a cheaper rate. So starting to build some of that into our plans going forward. And then there are other things we do. Another example would be Cripple Creek & Victor where we have optimized our mine plans, and some of the equipment that we thought we needed to buy, we can now defer into future years. So, that's an example of deferrals that are reflecting in our sustaining capital going forward.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Thanks. That provides a better understanding. And within that, there's really no – I mean, is there a component of deferral of stripping programs, that CapEx is inevitably going to have to show up in later years or was it mostly restricted to equipment and improved contracting rates and improved cost?
Tom Palmer - Newmont Mining Corp.: As you say, Andrew, it's more about the latter. It's improved rates, improved unit costs, deferral where we have done mine and plan optimization. And as we talked about today, we are – got some maturing operations and we are moving into those stripping campaigns and talking about it. So, we continue to do those campaigns for the longer term. So, we're not pushing any of that stuff out.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Thanks very much. At Long Canyon, it strikes me that the grade – I mean, grade from a heap leach perspective is already very attractive. And I'm just wondering, as you move towards permitting below the water table, is the move to – and you're looking at the prospects of higher grade resources to convert to reserves. Is the move in Phase 2 really towards permitting a milling complex sooner rather than later?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. What we need to do is get the reserve and resource figured out, the elements of the water and how we're going to manage it so that we can put together our overall permit requirements for both the mill and expansion of the leach. We haven't firmed up, but it automatically goes to a mill. I think economics may drive it that way, but we need to do the study work on it. So, at this stage, because we've got Phase 1 in place, we want to be very methodical in our review and make sure we bring the permit along at the right time in the process.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Great. And then, just finally, on another exploration project, Sabajo, and now that you're operating in Suriname, I'm just wondering – and you're looking at acquiring additional ground at Sabajo. Is there an update that you can provide on those activities?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. Sabajo is actually – it's about 40 kilometers west of Merian and the way, at least, we're assessing it today is as a satellite ore body that could feed ore to the mill at Merian. It provides some additional saprolite ore that we could truck over. So, we're setting options on how we could truck it and when the right timeframe is for that. It's probably not going to add to Merian until the 2020-2021 timeframe based on what we know today, but it's still early days. We're just moving that project in our project pipeline along to the next stage. So, it's still early days to know the details on it.
Andrew Kaip - BMO Capital Markets (Canada): Okay. Thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: Thanks, Andrew.
Operator: Our final question comes from Tanya Jakusconek, Scotiabank. Your line is now open.
Tanya Jakusconek - Scotia Capital: Great. Good morning, everybody. Thank you for taking my question. Actually, I have a couple. The first one, Gary, can we back to the reserves and resources and can you talk a little bit about the 2.6 million ounces that got reclassified into resources from reserves and what caused those to move and what assets are they exactly?
Gary J. Goldberg - Newmont Mining Corp.: Sure. I can do that. Thanks, Tanya. I think, one of them – and when you look at our reserve-resource release, you can see there were price changes that affected the reserves by about 600,000 ounces, there was primarily a change in the capital price assumption at Phoenix that moved around 500,000 ounces from reserve to resource, so that's what we'd call our reclassification, so that added about 500,000 ounces of that 2.6 million ounces. We had changes to Carlin due to updated pit designs. They'll show in revisions on the reserves side and that adds to the reclassified, the 2.6 million ounces. You see a very small number for revisions because that's a net number, and it nets out additions that we see for other reasons that Carlin and Ahafo North against some of the revisions to the Carlin pit design and also a Boddington, where we've updated the requirements to support the tailings facility expansion and moved about 600,000 ounces from reserve to resource. So, that gives you about – well, it's the majority of what that 2.6 million ounces and reclassification is for those three. The others were just technical updates, as we revised some requirements for drill spacing in different areas.
Tanya Jakusconek - Scotia Capital: I had 0.6 million ounces for Boddington and I had 0.5 million ounces for Carlin. I didn't have a number for Ahafo North. Was that in the 0.5 million ounces to 0.6 million ounces also?
Gary J. Goldberg - Newmont Mining Corp.: Yeah. Carlin was 0.7 million ounces, Boddington 0.6 million ounces and Phoenix 0.5 million ounces of that reclassification. Ahafo North was plus 0.5 million ounces.
Tanya Jakusconek - Scotia Capital: Okay.
Gary J. Goldberg - Newmont Mining Corp.: And there was another Carlin plus – I think it's about 0.6 million ounces...
Tanya Jakusconek - Scotia Capital: Okay.
Gary J. Goldberg - Newmont Mining Corp.: That's offsetting in the reserve side.
Tanya Jakusconek - Scotia Capital: Okay. Thank you for that. And then, my second question is on Twin Creeks, the underground project. Can you just remind us of the – given that this one is going to be – you're making a decision on a second half of this year or mid-year, can you remind us the operational parameters, CapEx, cost, et cetera on this asset?
Gary J. Goldberg - Newmont Mining Corp.: What I'd say, this is like what we've done at Carlin, where we came to the end of an open pit and then do a decline basically down into the reserve next to or adjacent to and below the open pit. It's small in terms of its overall contribution. We'll update the market once we get that, but it's not big in terms of cost or in ounces. But it does add an increment at Twin Creeks.
Tanya Jakusconek - Scotia Capital: Any sort of sizes at under 50,000 ounces a year? Or, like, do we have any idea of size just to have it as a perspective?
Gary J. Goldberg - Newmont Mining Corp.: Sure thing. Tom?
Tom Palmer - Newmont Mining Corp.: Yes. It's 40,000 to 50,000 ounces at that sort of range...
Tanya Jakusconek - Scotia Capital: And how – yeah, okay. And the capital would just be a decline to get to it. Would that be a safe thing to model?
Tom Palmer - Newmont Mining Corp.: Yeah, I think that sounds all right.
Gary J. Goldberg - Newmont Mining Corp.: Yeah. And we've done the early study work there. We've actually installed the decline. And so, we've got access to the ore body in place. So, it actually would be a pretty short timeframe there, but it's small.
Tanya Jakusconek - Scotia Capital: It's small? Okay. And then, maybe just the last question on Boddington, Twin Creeks again and I think you mentioned Carlin, too. I think it was said that the production will be declining over the next couple of years and then coming back up again. When you say coming back up again, are we coming back to what sort of level? Is it back to 2016 levels or...
Gary J. Goldberg - Newmont Mining Corp.: We'll run through – start with Boddington. I'll have Tom go through.
Tom Palmer - Newmont Mining Corp.: Yes. Boddington returns back – in 2019, you can expect to return back to 2016 levels.
Gary J. Goldberg - Newmont Mining Corp.: And Carlin?
Tom Palmer - Newmont Mining Corp.: Yeah, Carlin will return to similar levels again.
Gary J. Goldberg - Newmont Mining Corp.: And the same thing, Twin won't come up quite as much.
Tom Palmer - Newmont Mining Corp.: No, Twin won't come up as much.
Tanya Jakusconek - Scotia Capital: Okay.
Gary J. Goldberg - Newmont Mining Corp.: And Ahafo comes up a lot more, as we get into the much higher grade at the bottom of the next pushback in 2019.
Tanya Jakusconek - Scotia Capital: That was more because of grade. Okay. That's very helpful. Thank you very much.
Gary J. Goldberg - Newmont Mining Corp.: Great. Thanks, Tanya.
Operator: And now, I'll turn the call over to Gary for closing remarks.
Gary J. Goldberg - Newmont Mining Corp.: Thank you, operator, and thank you all for your questions. Our team delivered exceptional performance, portfolio improvements and value last year. This year, we'll build on that trajectory by delivering steady gold production at competitive costs and continuing to improve those costs through our Full Potential program. We'll also continue to invest in profitable growth by completing the Tanami expansion in Australia, by reaching decisions to fund expansions at Ahafo, Twin Creeks and Yanacocha that represent upside to our current guidance and by pursuing early-stage and exploration opportunities to build our reserve base. Finally, we'll maintain an investment-grade balance sheet and the leading talent, governance and sustainability practices that underpin long-term value creation. Thank you for joining us, and have a safe day.
Operator: And that concludes today's conference. Thank you for your participation. You may now all disconnect.